Operator: Good day and thank you for standing by. Welcome to Scholastic Reports Q4 and Fiscal Year 2021 Results Conference Call. [Operator Instructions] I would now like to hand the conference over to your speaker today, Gil Dickoff, Senior Vice President, Treasurer and Head of Investor Relations. Please go ahead.
Gil Dickoff: Thank you and good afternoon. Welcome to Scholastic’s fourth quarter and fiscal year 2021 earnings call. Joining me on today’s call are James Barge, the Board’s Lead Independent Director; Iole Lucchese, the newly appointed Chair of the Board and also the company’s Chief Strategy Officer and President of Scholastic Entertainment, and of course, Ken Cleary, our Chief Financial Officer. I would also like to introduce Peter Warwick on today’s call. Peter will officially become Scholastic’s President and Chief Executive Officer on August 1. We have posted an investor presentation on our IR website at investor.scholastic.com, which we encourage you to download if you have not already done so. I would like to point out that certain statements made today will be forward-looking. Such forward-looking statements are a subject to various risks and uncertainties, including those arising from the continuing impact of COVID-19 on the company’s business operations. These forward-looking statements by their nature are uncertain and actual results may differ from those currently anticipated. In addition, we will be discussing some non-GAAP financial measures as defined in Regulation G and the reconciliations of those measures to the most directly comparable GAAP measures can be found in the company’s earnings release filed this afternoon on a Form 8-K, which has also been posted to our Investor Relations website. We encourage you to review the disclaimers in our press release and investor presentation and to review the risk factors contained in our annual and quarterly reports filed with the SEC. If you have any questions after today’s call, please send them directly to our IR e-mail address, investor_relations@scholastic.com. And now, I would like to turn the call over to Jimmy Barge to begin this afternoon’s presentation.
James Barge: Thanks, everyone for joining our call this afternoon. I have had the privilege of serving on Scholastic Board since 2013 and as a Lead Independent Director since 2015. And I have been constantly inspired by the mission of the company, the loyalty of both our employees and customers, and of course, the vision of Dick Robinson, who led the company until his passing last month. From across the globe, our publishing colleagues, occasional leaders, authors, teachers, principals, readers and the many others who had the opportunity to work with Dick over the years, shared an outpouring of tributes in his memory. We thank all of you. Iole, Ken and I together with Andy Haden, our EVP and General Counsel, have been hard at work ensuring that day-to-day operations move forward uninterrupted, with an underlying core of stability in our eye on the future business priorities and opportunities that have been identified during this past fiscal year. While I have been very close to the business for quite a while, the last several weeks have made three things very clear to me: first, the profound impact of Dick’s legacy on successive generations; secondly, as Scholastic and its employees remain resilient and continue uninterrupted to demonstrate an amazing ability to deliver through adversity; and most importantly, their families, educators and kids will always have a partner in Scholastic. On behalf of the Board, I’d like to recap steps taken and announced earlier this week to further solidify the future of Scholastic. Iole Lucchese was elected a Board member and appointed as Chair of the Board. Robert Dumont was elected to the Board as a designee of the Robinson family. And effective August 1, Peter Warwick was appointed the Chief Executive Officer and President of Scholastic. Peter has held impressive leadership roles throughout his career at Thomson Reuters, heading multiple and significant business units within the global company as well as having held executive roles at Pearson. His wealth of experience and known passion for the Scholastic mission as seen in his role as an Independent Director on the Scholastic Board of Directors since 2014, will promise both continuity and advancement for Scholastic. The Board feels Peter is exceptionally qualified to lead Scholastic as the company continues to grow our Education Solutions business, expand the reach of our digital offerings, strengthen partnerships and focus on creating value for all stakeholders. It is with great confidence that we all welcome Peter. And with that, I now turn the call over to Iole.
Iole Lucchese: Thank you, Jimmy. And with a special note of appreciation to the members of our Board for all their support and contributions during this time, it would be difficult to overemphasize the impact that Dick has left on publishing in children’s education and ultimately the children Scholastic reaches as well as the families and educators who support them. For nearly 50 years, Dick led Scholastic’s businesses, operations and strategy with a focus on both mission and growth. Now, it’s time for us to continue to move forward and build on Dick’s legacy. Scholastic has been built on a foundation of our employees working together with a collective drive focused on our customers supporting the goal of literacy and helping to provide every child with the opportunity to thrive. I want to thank each of you for embodying the Scholastic mission this past year. It’s your hard work that has kept Scholastic moving forward and the reason for our strong results this past quarter. We navigated this past fiscal year with focus and disciplined execution successfully. We will continue to support children in ways that no other company can as we have during this unprecedented pandemic and time of change. Scholastic dramatically improved results year-over-year across all business segments in the fourth quarter, not unexpected as the comparable time when a year ago was in the height of the pandemic shutdowns and uncertainty. Nonetheless, we are seeing strong underlying trends. In addition to closing a strong Q4, we were profitable ex one-time items for the full year and we are well poised for fiscal year 2022. In our specific businesses, Book Fairs continues to tailor the fair experience to meet the needs of schools as they reopened in the spring and intensified marketing through positive results. While we had hoped for even stronger opportunities to host our premium, in-person fairs in the fourth quarter, the increased appetite from schools to include fairs in their calendar planning keeps us cautiously optimistic for the fall season. This summer, we are focused on our operational readiness as bookings increase, ensuring we have the right offerings, marketing and strategies to meet schools where they are this fall and beyond. Clubs had a very positive quarter, a reflection of more teachers resuming in-classroom activities to reengage and excite students around learning through books. With increased teacher sponsorship and streamlined marketing and processes, revenues improved in comparison to the previous year’s quarter by $17.9 million. Trade continues to hit the right mark with every age group. Dog Man and Cat Kid Comic Club from Dav Pilkey and the Graphics Baby-Sitters Club all continue to prove the influence of graphic novels to bring children to reading and new picture books such as Wishes and Lala’s Words, solidify the power of beautiful diverse publishing. Audiences are eagerly awaiting the next Cat Kid Comic Club, Graphics Forthcoming #10 of the Baby-Sitters Club, The Brightest Night, Wings of Fire, and of course, JK Rowling’s new children’s novel, the Christmas Pig coming in October. And we will continue to apply learning from the shifting marketing landscape to utilize virtual events in powerful ways. This summer, we are launching Family Book Fest to bring offers in books directly to families in a new way. We also continue to invest in our strategic growth plan to leverage our IP across platforms. Scholastic Entertainment now has numerous projects in development and is gaining recognition in the industry for excellence. Stillwater on Apple TV+ based on the picture books by Jon J. Muth, just recently won a Peabody Award and earned a Daytime Emmy award. The series strikes an important tone for today’s parents, bringing mindfulness to their children during this constant state of change. In September, we look forward to unleashing Clifford the Big Red Dog in theaters and introducing him to new audiences in this larger-than-life format and story. Just as our trade divisions across the world have keen insight into what kids want to read, our education division has the pulse on what teachers need in their classrooms to best support their students. The success of the fourth quarter and the full fiscal year is because of the close partnerships we have made over the years with state, district school and classroom leaders. Those relationships and the insights they provide guide us to customize our products quickly to match the ever-changing landscape of education particularly in the pandemic as well as to be forward thinking, driving our strategic and upfront investments in areas of growth, such as early education with PreK On My Way, social-emotional learning through our Yale Child Study Center partnership and more, all of this with the backdrop of unprecedented federal funding, we are leaning into this climate and evolving with it. Evidence of how well our efforts and education support our customers and our business is in the result of a 9% full year growth in revenues. The fourth quarter showed higher sales in comparison to the previous year in those channels, led by the district level need and innovation around summer learning and classroom refreshes as children return to school, and still keeping the needs of at-home learning net teaching resources is up by $10 million year-over-year, and digital bookings are also up, led by products such as Scholastic First. Our International division continues to benefit from our global strength in trade publishing. Two highly anticipated books globally in the coming fiscal year are from Australian-based Aaron Blabey’s, The Bad Guy series. Similar to the U.S., international clubs and fairs are beginning to recover and cost reductions support forward growth in the coming year. And Asia remains a growth opportunity as we continually expand our reach through franchise schools and direct sales to parents. Looking ahead, in fiscal year 2022, we are feeling positive about back-to-school season and beyond, particularly as we rebuild our Fairs business. There is positive momentum around fall bookings with the understanding that the climate remains somewhat uncertain, though becoming clear. In the fourth quarter, success in Clubs keeps us optimistic for our distribution channels at large. Trade will continue its stellar track record of publishing books that resonate with kids and become part of the contemporary culture in an increasingly broad way as our content continues to be adapted for streaming, television and film. Education will benefit from its streamlined approach to serving customers as a combined group, and we are well poised to help them navigate a new normal and new streams of funding. International will continue to have a diverse approach tailored to its markets, covering trade publishing, education content, including English language learning tools and our global distribution channels. Finally, welcome Peter. You’ve been a crucial voice on our Board these past 7 years, and I’m confident that working with you will help us take advantage of our many opportunities for progress and growth. With that, I’d like to turn the call over to Ken Cleary.
Ken Cleary: Thank you, Iole, and good afternoon. Today, I will refer to our adjusted results for the fourth quarter and full year, excluding one-time items unless otherwise indicated. Please refer to our press release tables and SEC filings for a complete discussion of one-time severance, closure and settlement costs. The unprecedented nature of the pandemic created challenges for all Scholastic’s businesses. The actions taken by the company during the past 1.5 years, while drastic, were necessary. We focused our efforts in two distinct areas. First and foremost, we pivoted our resources to meet our customers’ change needs as a result of the pandemic. When teachers and students could not receive Book Clubs orders in the classroom, we offered ship-to-home options. When schools could not run our valued in-person book fairs, we offered virtual fairs. When parents needed easy to deploy learning at home, we provided teacher resources and digital content. When school districts identified the greater need for independent reading during the pandemic, we offered individual book packs that could be distributed to students from the school district. When our classroom magazines couldn’t be delivered to students and schools, we offered digital-only magazines. These solutions demonstrate the company’s ability to pivot to our customers’ needs, but moreover, these newly developed distribution methods demonstrate that demand for the company’s content remains strong regardless of how it is distributed. All told, these new distribution methods supported over $140 million of our revenues in fiscal 2021. Second, we’re able to drastically reduce costs in the face of a severe downturn in revenues as a result of the pandemic. Early in the pandemic, we initiated a project to reduce cost by $100 million, a target we exceeded. We continued our furlough program through the first quarter. We consolidated functionality and combined resources across the company, streamlining many processes. We leveraged lower cost options to execute various functions throughout the company. We eliminated substantial discretionary spending during the pandemic. We permanently closed 13 distribution facilities and consolidated our New York City office footprint into a single facility, and we temporarily closed other distribution facilities. We focused our technology and capital projects on those projects deemed essential, and we better matched inventory purchases to expected demand. The result of these efforts were significant, exclusive of one-time severance, facility closure and other costs. Our SG&A decreased over $170 million compared to the prior year. Our CapEx decreased to $47.2 million for the year compared to $62.7 million in fiscal 2020. Our net cash position of $176.3 million was relatively flat compared to the prior year-end balance of $175.3 million and our free cash flow, as defined, was $20.5 million compared to a free cash use of $89.1 million last year. Many of these costs will return to the company as our revenues increase post pandemic, but approximately $50 million of these cost savings will be permanent in nature when our revenues return to historical levels allowing for better margins in the future and the opportunity to dedicate resources were needed. While the above pandemic-related actions were necessary given the conditions, more important to the company before, during and after the pandemic is the value we provide to our customers through our brand, our content creation as evidenced by strong trade results in FY 2021 and our distribution capabilities. Our revenues in the important fourth quarter grew to $401.4 million or 41% versus the prior year period, which included the first few months of the pandemic. Fiscal 2021 revenues declined 13% versus last year to $1.3 billion, also driven by decreased revenues from fares domestically and abroad due to COVID restrictions. Still, we believe the sequential improvements and results relative to the third quarter, is indicative of the success of our COVID response and generally improving market conditions. Operating income for the fourth quarter was $41.6 million versus a loss of $39.4 million in Q4 of last year. For fiscal year 2021, operating income was $39 million versus an operating loss of $32.3 million in fiscal 2020. Adjusted EBITDA for the fourth quarter was $63.6 million compared to a loss of $17.3 million last year, while adjusted EBITDA for full fiscal year 2021 was $139.6 million compared to $56.6 million in fiscal 2020. Fourth quarter earnings per diluted share was $0.90 compared to a loss per share of $0.23 in fiscal 2020. Full year earnings per diluted share, was $1.02 versus a loss per share of $0.08 in the prior year. Now turning to our segments, where I will review the drivers of our fourth quarter results. Our fiscal year results are detailed in our tables and SEC filings. In Children’s Book Publishing and Distribution, fourth quarter revenue increased 46% to $192.2 million. While the Spring School season did not allow as many book fairs as we had hoped due to continued COVID concerns, there were substantially higher levels of in-person book fair since the third quarter and in comparison to the prior year’s fourth quarter. Trade revenues grew from the third quarter with an impressive $78.4 million, which had an unfavorable comparison to the prior year period by $2 million only because of the strong sales of The Ballad of Songbirds and Snakes in the fourth quarter of fiscal 2020. Fourth quarter operating income was $14.3 million as compared to an operating loss of $46.5 million in the prior fiscal quarter. In Education, revenue in the fiscal fourth quarter grew 32% to $124.9 million versus the prior year period. Education results benefited from a heightened and expanded need for summer learning programs, schools and districts increasing book access both at home, through book pack distributions and in school through level book room and classroom collections, in addition to strong demand for teaching resources and digital subscriptions. Fourth quarter operating income was $40.8 million versus operating income of $27.3 million in the fiscal 2020 quarter. In our International segment, fourth quarter revenues grew 47% to $84.3 million versus prior year. Our major markets of Canada and Australia, both had higher sales as did Asia across most channels, direct sales trade and education. In the fourth quarter, International had an operating income of $5.1 million versus a loss of $9.1 million in the fiscal 2020 quarter. We also benefited from certain COVID-related wage and rent subsidies of $11.2 million in our international business. Corporate overhead expense was $18.6 million in the fourth quarter, an increase of $7.5 million versus the prior year period, largely due to technology investments and the absence of furlough savings. For the fiscal year, lower overhead expense overall, $71.9 million versus $81 million in fiscal 2020 is a reflection of the company’s cost savings initiatives. Many of the company’s cost savings initiatives were enabled by the technology and related process changes that we have been implementing over the past 5 years. Regarding our facilities, our headquarters in SoHo, has started welcoming back employees to their working stations as restrictions have been lifted. We look forward to even more of our New York-based employees collaborating in person as we adjust to an increasingly hybrid environment, which will further enhance productivity as employees benefit from this new found flexibility. We will continue to strategically manage our assets as the Manhattan rental market bounces back. As previously disclosed, we sold two surplus facilities in fiscal 2021, and we expect to sell two more facilities in fiscal 2022. Finally, as previously announced, the company paid its regular quarterly dividend in each quarter of fiscal year 2021, uninterrupted by the pandemic for a total of $20.6 million. We are turning the corner on the pandemic. In the fourth quarter and continuing into the month of June, we have seen strong demand for Education Solutions as districts, principals, teachers, parents and students prepare for in-person learning in the upcoming school year. This includes increased summer reading programs and the replenishing of classroom materials. There is substantial Federal funding available for states, districts and schools to spend on Education Solutions. We are currently experiencing strong demand for our digital and print offerings. Our Book Fairs team is seeing a similar reaction from their customers who are anxious to host an in-person Scholastic Book Fair in the upcoming school year. The ramp-up of this business is expected to be sequentially better from last spring to this fall and then to this coming spring. As such, we are closely assessing our demand and creating capacity when and where we need it for the fall season. This entails reopening distribution facilities that have been closed for over a year in some instances, including hiring and training warehouse and transportation staff members. We are optimistic that our Book Fairs business will recover, but we do not expect a full recovery to historical revenue levels in fiscal 2022, and we are managing our resources to meet our expected demand. As we come out of the pandemic, we look forward to continuing the company’s mission and to grow our business. Scholastic now has a more scalable operating model as a result of our cost saving programs in both a growing customer base and a global footprint, all resulting in strong cash flow generation. We are investing in digital growth opportunities across e-commerce and online applications as well as pursuing numerous strategic solutions to meet the growing need for new digital education solutions adaptable for school and at-home to develop and support literacy. In fiscal year 2022, we intend to focus our growth with the following significant opportunities; leveraging our IP across platforms, direct sales and marketing to parents, investing in long-term education solutions growth, growth in Asia through English language learning solutions, and the continued simplification of processes. We are currently borrowing $175 million under our credit facility, but expect to reduce our borrowing levels as our revenues return in fiscal 2022 and receive outstanding tax refunds from the Federal government. We will be negotiating a renewal or extension to our bank credit facility, which expires in January 2022. As I previously mentioned, we expect much of the cost savings we achieved in fiscal 2021 to be permanent. Adjusted EBITDA will continue to benefit from the lower operating cost base, partially offset by higher inflationary costs for labor, materials, transportation and other services as well as the discontinuation of COVID-related government subsidies. We are not issuing financial year guidance today since there is substantial uncertainty in the expected recovery rate and the course of the pandemic. In the coming quarterly calls, we will continue to provide additional detail as uncertainties due to the pandemic continue to subside. In closing, I want to express my heartfelt appreciation, for having had the opportunity to work side-by-side with Dick for many years, and benefit from his vision and ability to empower his management team to see through this pandemic and continue our mission into the future. We remain focused on the execution of our strategic plan for fiscal year 2020, which Dick, along with our Board, supported when it was approved this past May. With that, I will turn the call over to Peter, who we are pleased to have with us for the first time as he prepares to join us as Scholastic’s CEO and President. Welcome, Peter.
Peter Warwick: Thank you, Ken. It’s an honor to be here today. Jimmy, Iole, Ken and Andy, thank you for your stewardship with Scholastic this summer. Thank you to all of the Scholastic employees who came together to support one another and to support our customers during a time of grief and at a time that came on the heels of an already tiring 1.5 years of change. Thank you to the Board for your support and faith in me to bring Scholastic forward in its second century and finally, thank you to Dick Robinson. It’s a humbling experience to be following Dick’s tenure as CEO, and I am profoundly grateful for the opportunity. It is because of his tireless effort to build a company and to cultivate a leadership team that knows teachers, families and kids better than anyone else, but I enter my new role with confidence that the future is bright. Scholastic will continue to do what it does best. That is to be a partner to schools and families. Virtually all schools are executing expanded summer plans. They are also creating back-to-school plans that continue to need to be nimble because of the effects of COVID. We know that top priority is safety as well as the need to accelerate learning from lost classroom time, while at the same time supporting increased social emotional needs. Scholastic will remain a trusted brand for families to turn to when they are supporting their children’s learning, personal growth and natural curiosity in the world. I look forward to speaking to you all again in the future when I can share how we are working hand-in-hand with educators and caregivers to accomplish all of this. Gil, I will turn the call back to you for closing.
Gil Dickoff: Thank you very much, Peter. As a reminder, we invite questions to be directed to our IR mailbox, investor_relations@scholastic.com. We appreciate everyone’s time and continuing support, and thank you for joining today’s call.
Operator: This concludes today’s conference call. Thank you for participating. You may now disconnect.